Operator: Good afternoon and welcome to the Digital Realty First Quarter 2020 Earnings Call. Please note, this event is being recorded. During today's presentation, all parties will be in a listen-only mode. Following the presentation, we will conduct a question-and-answer session and callers will be limited to one question plus a follow-up. Due to time constraints, we will conclude promptly at the hour. I would now like to turn the call over to John Stewart, Digital Realty's Senior Vice President of Investor Relations. John, please go ahead.
John Stewart: Thank you, Shawn. The speakers on today's call are CEO, Bill Stein; and CFO, Andy Power. Chief Investment Officer, Greg Wright; Chief Technology Officer, Chris Sharp; and EVP of Sales and Marketing, Corey Dyer, are also on the call and will be available for Q&A. Management may make forward-looking statements, including guidance and the underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our 10-K and subsequent filings with the SEC. This call will contain non-GAAP financial information. Reconciliations to net income are included in the supplemental package furnished to the SEC and available on our website. With that, I'd like to turn the call over to Bill.
Bill Stein: Thank you, John. Good afternoon and thank you all for joining us. The last 90 days have been unlike anything that we've experienced in our lifetime, and our hearts go out to all those who have been directly impacted by COVID-19 especially those who've lost loved ones. No one has been immune to this crisis, but the data center industry has been fortunate to remain open for business while huge portions of the global economy have been put on hold. As you probably know, data centers have been classified as critical infrastructure and essential businesses by government agencies around the world. Our top priority is, of course, the health and safety of our employees, customers and partners. The entire data center industry has delivered a strong track record of operational excellence and uptime throughout this crisis. Digital Realty has made 100% uptime. And while we have deferred preventative maintenance and have asked customers to limit site visits to critical activities, our doors have remained open and our data centers continue to provide the trusted foundation for the digital economy. Business continuity is our core competency. We have a full-fledged pandemic playbook to ensure that we maintain service levels while prioritizing the health and safety of our employees, customers and partners. We have received very high marks from our customers for our professional protocol and proactive communications throughout the crisis. For this, we owe a debt of gratitude to our operations team and particularly our frontline employees in critical data center roles. Despite the challenging environment, they have continued coming to work so that industries, governments and families can continue to connect, keep in touch and keep commerce and information flowing. We are deeply appreciative of their efforts. Let's turn to our sustainable growth initiatives here on page four. In early January, we issued €1.4 billion of green euro bonds. This was our third green bond issuance, and we are now the largest U.S. REIT green bond issuer. Our green bond framework is aligned with the ICMA green bond principles with a second-party opinion provided by Sustainalytics. In mid-January, we announced that we had achieved EPA ENERGY STAR Certification for an industry-leading 29 data centers last year. In early April, we were honored to be the first data center provider to receive an EPA ENERGY STAR Partner of the Year Award for Energy Management. Finally, in late April, we announced a wind energy agreement to supply approximately 30% of our power needs in the Dallas, Texas area with renewable energy. On the social front, we are fortunate to be in a position to give back in the midst of this crisis. We have undertaken a comprehensive, philanthropic initiative consisting of corporate contributions, employee-matching gifts and community outreach initiatives to help support organizations combating COVID-19 around the world. We are also waiving fees for expanded service exchange connectivity for the next six months to help customers in the government, medical, emergency services and educational verticals keep critical services running. On the governance front, Jean Mandeville has joined the Board of Directors, bolstering the additions of Alexis B. Bjorlin and Dash Jamieson in January. Jean was previously Chairman of the Board at Interxion. And he has extensive experience in the technology and telecom sectors, having previously served as the CFO of Global Crossing and Singapore Technologies Telemedia as well as President of APAC for British Telecom. We are pleased to welcome Jean to the Board, and we look forward to benefiting from his leadership and expertise. On a more bittersweet note, we also have a departure to announce. Former Chairman, Dennis Singleton, has reached mandatory retirement age and will not be standing for reelection at our annual meeting. Dennis had a distinguished career prior to joining our Board, most notably as a founding partner of Spieker Properties. He has served as a Digital Realty director since our IPO in 2004, and he served as Chairman of the Board from 2012 to 2017. The company has grown nearly 50-fold since Dennis joined the Board, and he has provided sound counsel and steady leadership through the most critical junctures in the company's history, including the strategic investments that have built the business as well as leadership changes at the Board and the C-suite. He is a true gentleman and his sage counsel and collegial bearing will be sorely missed. On behalf of the entire Board of Directors, I would like to thank Dennis for his more than 15 years of service to Digital Realty, and we wish him the very, very best. Let's turn to page five, our first quarter investment activity showcased the breadth of our global platform and crystallized the transformation of our business. The highlight of the quarter was, of course, our combination with Interxion in a highly strategic and complementary transaction, creating a leading global provider of cloud and carrier-neutral data center solutions. We also closed the acquisition of a 49% interest in the Westin Building Exchange in Seattle. The Westin Building is one of the most densely interconnected facilities in North America and is home to leading global cloud, content and interconnection providers with over 150 carriers and more than 10,000 cross connects. We closed on the sale of a portfolio of 10 North American data centers to Mapletree in January, generating approximately $550 million of proceeds. We also launched our colocation product offering in Osaka, building upon the success of our hyperscale business in Japan. We opened a new data center in Dublin, the new Clonshaugh facility supports the growth of Dublin's technology sector, which is projected to boom over the next decade. We acquired a small land parcel in Frankfurt, adjacent to our existing Sossenheim campus to accelerate time to market and supply-constrained metro. Separately, Interxion has line of sight on a sizable land parcel expected to represent a strategic extension of its existing Frankfurt campus that would support the development of up to 180 megawatts of IT capacity, providing runway to support customer growth in key European metro for years to come. We announced that we turned the power on at SIN12, a 50-megawatt new development in Singapore, partially pre-leased to a major Singaporean bank and a leading global cloud provider. Finally, in April, Interxion announced it has broken ground on Interxion Paris Digital Park, a major expansion project in Paris with up to 85 megawatts of capacity. The first of four new data centers on this site will be Interxion's 8th in Paris. And the first phase is scheduled to open in late 2021. Let's turn to integration on page six. We believe our combination with Interxion has the potential to change the global data center landscape. The combined organization is well placed to meet the growing demand from cloud and content platforms, IT service providers and enterprises seeking colocation, hybrid cloud and hyperscale data center solutions. These are global, long-term opportunities that we are ideally positioned to address. Integration is our top priority for 2020. The combined company offers a comprehensive global platform for our customers and gives us a runway for significant growth. We have obviously had to adapt to the current environment. The transaction closed on March 13, and we began sheltering in place the following week. Many of the initial meetings between teams that would have taken place in person have been virtual instead, and that has obviously created some challenges. But both teams have risen to the challenge. During that first week, we had to implement policies, procedures and customer communications for operating in the midst of a global pandemic. As I mentioned earlier, I'm deeply grateful for the way both teams have come together to continue to serve our customers' needs throughout this crisis. Based on our work prior to closing and within just the past few weeks, we've made progress on our corporate integration efforts, including finalizing our integration governance and combined EMEA leadership structure, which we will be rolling out in the coming weeks. There will be more to come over the next several quarters, but we are pleased with our progress to date. Let's turn to the macro environment on page seven. As we are all aware, the global economy has ground to a halt. As you've heard me say many times before, data center demand is not directly correlated to job growth, and we are fortunate to be operating in a business levered to secular demand drivers, both growing faster than global GDP growth and somewhat insulated from economic volatility. To put a finer point on the secular demand drivers underpinning our business, I'd like to draw your attention to page eight. McKinsey recently conducted a global survey of 3,600 B2B decision-makers on their business outlook and priorities. The surveyed executives stated they value digital interactions with customers as two to three times more important than traditional interactions, reflecting continued need for digital infrastructure and capacity demand for data centers. According to the market intelligence firm Intricately, on average, enterprises utilize 27 cloud products, deployed and consumed across eight points of presence globally. We are seeing indicators of this demand globally across our platform in the volume of new logos led by our enterprise vertical, as these firms shift their strategy to enable digital interactions for their customers. Digital Realty was recently named a worldwide leader in the IDC MarketScape Colocation and Interconnection Services Provider Assessment report, noting PlatformDIGITAL provides a global scale platform to enable digital transformation in a consistent, modular fashion. We are honored by the strong validation of our platform and our unique positioning to capture the global data center demand opportunity. Given the resiliency of demand drivers underpinning our business and the relevance of our portfolio to meet these needs, we believe we are well-positioned to continue to deliver sustainable growth for customers, shareholders and employees, whatever the macro environment may hold in store. With that, I'd like to turn the call over to Andy to take you through our financial results.
Andrew Power: Thank you, Bill. Let's pick up here on page 10. As you may have seen from our supplemental reporting package, given the compressed time frame post-closing and the complexity of reconciling different reporting practices with both teams working remotely, we've included the partial period contribution from Interxion in our financial statements, but we have not included Interxion's portfolio statistics in the supplemental until next quarter. We've also tabled most of the changes to our disclosure package we discussed last quarter. We continue to see the lines blurring between product types, and we believe the distinction is becoming less meaningful. As a result, we still expect to evolve our disclosure in the coming quarters to more closely align with our customers' buying behavior and the way we manage the business. We also expect to fully reflect the Interxion portfolio statistics within our disclosure next quarter as well. Nonetheless, we provided a few pro forma data points in summary form here on page 10 to help frame the power of the combined business. I would like to point out that we slightly tweaked our definition of adjusted EBITDA this quarter to include our pro rata share of unconsolidated joint venture taxes and interest expense. We use net debt to adjusted EBITDA as our primary leverage governor, and we calculate leverage on a look-through basis. In other words, we include our pro rata share of unconsolidated JV debt in the numerator. And we believe that including our pro rata share of unconsolidated JV, joint venture, EBITDA in the denominator is the intellectually honest approach. Our pro rata share of joint venture interest expense and taxes has historically been negligible, but it's becoming more meaningful as we expand our strategic private capital initiative through ventures like Ascenty in Latin America and MC Digital Realty in Japan. Let's turn to our leasing activity on page 11. We delivered solid leasing volume with balanced performance across sectors, products and geographies. We signed total bookings of $75 million, our second highest quarter on record. This does not include any contribution from Interxion, which separately signed another $10 million during the first quarter. Interxion's first quarter bookings were entirely colocation and connectivity business, with no single deal larger than 180 kilowatts. Standalone Digital Realty's first quarter bookings included a $9 million contribution from interconnection. We signed new leases for space and power totaling $66 million, with a weighted average lease term of nearly seven years, including a $7.5 million colocation contribution. Standalone Digital Realty added 54 new logos during the first quarter on a consolidated basis. In addition, Ascenty landed 20 new logos and Interxion added another 45 for a grand total of 119, underscoring the power of our global platform. In terms of regions, standalone Digital Realty's results showed particular strength in the Americas as well as APAC, notably in Northern Virginia here in the U.S. as well as Singapore in APAC. We leased 25 megawatts in Ashburn during the first quarter, bringing our total over the past three quarters to 57 megawatts. This activity has driven lease-up of active development as well as existing inventory, and we generated nearly 300 basis points of positive net absorption within our Northern Virginia in-service portfolio during the first quarter, from 90% occupied at year-end to 93% as of March 31. We have not yet begun to see meaningful improvement in Northern Virginia market rents, but the available inventory is being rapidly absorbed, and the pendulum appears to be swinging back towards tighter availability and healthy competitive tension. In terms of specific wins during the quarter and around the world, we've landed a leading global video streaming platform for their launch across much of Europe, which was a resounding success. Interxion, a Digital Realty company, supports this on-demand, ad-free streaming service by providing their data center infrastructure across five locations in Europe. With the growing demands for OTT video services, this is a sector that relies on highly connected data centers to deliver a superior customer experience, and we are honored to have partnered with its leading provider to help them bring their world-class content to European consumers. We helped a leading European digital service provider stand up a bare-metal cloud offering adjacent to cloud on-ramps in São Paulo to support a major cloud provider's hybrid services in South America on our Ascenty platform. A global financial services firm using NVIDIA GPUs in their high-density compute cabinets chose Digital Realty because we met their high-performance computing requirements, including proximity to their legacy compute environment to ensure ultra-low latency and security. PlatformDIGITAL has been gaining significant momentum since its launch late last year. And customer-spanning industries, geographies and business objectives are making the migration. SEMrush, a SaaS provider offering online visibility and marketing analytics software subscriptions, had a requirement for a data hub with proximity to multiple leading global cloud providers and a global expansion under an aggressive timeline. We were able to solve their needs with a new deployment in Ashburn, including connectivity via our service exchange. Similarly, BIGO, a Singapore-based technology company specializing in AI-enabled video platforms needed a critical infrastructure provider to help them expand into EMEA. BIGO landed on legacy Digital Realty's Frankfurt campus. Interxion's capabilities across the region further solidifies the selection of their ideal partner. We were also able to support the 5G aspirations of a global Fortune 100 service provider by meeting their financial growth and power density requirements. We are continuing to build on our global momentum in the second quarter, and we look forward to helping customers achieve their goals during these uncertain times. Turning to our backlog on page 13. Standalone Digital Realty's curve backlog of leases signed but not yet commenced stepped up from $116 million at year-end to $122 million at the end of the first quarter. The lag between signings and commencements was a bit better than our long-term historical average at four and a half months. Moving on to renewal leasing activity on page 14, which again excludes Interxion, we signed $92 million of renewals during the first quarter in addition to new leases signed. Activity was heavily skewed to our colocation business, and the weighted average lease term on renewals signed during the first quarter was a little over three years. While the positive mark-to-market on colocation renewals largely offset turnkey and PBB roll downs for an average cash re-leasing spread across the product types of negative 1.5%. As you may have seen, our guidance calls for cash re-leasing spreads to be down low single digits. Please keep in mind that our 2020 guidance does include Interxion, whereas we have not reflected Interxion results in our first quarter leasing statistics. Aside from a few select supplies constrained regions and metro areas, we have yet to see broad-based rental rate growth across most markets. However, we are continuing to make significant progress cycling through peak vintage renewals, the lion's share of our portfolio has recently been leased at current market rents and we are beginning to see barriers to entry emerge in a growing number of markets around the world. As a result, we expect to see continued gradual improvement on cash re-leasing spreads into 2020 and beyond. In terms of first quarter operating performance, overall portfolio occupancy improved 40 basis points to 87.2%, largely due to positive absorption in Northern Virginia and Dallas. Same capital cash NOI was down 3.7% due to downtime related to record expirations in 2019 and reflecting a 40 basis point FX headwind. Our full year guidance implies improvement going forward. And barring any unforeseen shocks, we are cautiously optimistic that we put the low watermark for the cycle behind us. As a reminder, Interxion and the Westin Building are not included in the 2020 same-store pool, but we expect both acquisitions will be accretive to our organic growth going forward. Turning to economic risk mitigation strategies on page 15. The U.S. dollar continued to decline relative to prior year exchange rates, and FX represented roughly a 50 basis point headwind to the year-over-year growth in our reported results, from the top to the bottom-line. We manage currency risk by issuing locally denominated debt to act as a natural hedge, so only our net assets within a given region are exposed to currency risk from an economic perspective. In terms of vertical concentration, as you can see from the pie chart on the upper right, we have limited exposure to the businesses that have been most directly impacted by the COVID-19 pandemic. Our April rent collections are in line with our historical average and the sum total of customers who have reached out to request rent relief represent approximately 2% of total revenue. In addition to managing credit risk and foreign currency exposure, we also mitigate interest rate risk by proactively terming out short-term variable rate debt with longer-term fixed rate financing. Given our strategy of matching duration of our long-lived assets with long-term fixed rate debt, a 100 basis point move in LIBOR would have less than a 50 basis point impact to full year FFO per share. Our near-term funding and refinancing risk is very well managed, and our capital plan is fully funded. In terms of earnings growth, core FFO per share was down 11.6% year-over-year. As you may recall, there were several onetime items in 1Q 2019 affecting the year-over-year comparison, including a $0.065 U.K. tax benefit, another $0.065 of interest income on the Brookfield bridge loan and a full quarter contribution from consolidating Ascenty prior to closing the joint venture with Brookfield on the last day of the year ago quarter, whereas we had nearly a full quarter of dilution from the Mapletree asset sales in 1Q 2020. Excluding these non-comparable items, the year-over-year growth would have been up 1.2%. Core FFO per share missed consensus by $0.03 but was $0.03 ahead of our internal forecast, driven by strong leasing performance and operating expense savings. By our estimation, the first quarter miss relative to consensus was entirely due to the share count. Its actual results were 5% to 6% ahead of consensus on the top line and EBITDA. And most street models did not reflect the 54 million additional shares outstanding for 18 days upon closing of the Interxion combination in mid-March. As you may have seen from the press release, we opportunistically issued a little over $650 million of equity on our ATM in late March and early April. In addition, we now expect to draw down our forward equity offering sooner rather than later this year. Our 2020 guidance includes just over $0.25, or 4% headwind comprised of three items; the opportunistic equity issuance and accelerated drawdown of our equity forward; FX and COVID-19 impact, including modest drag from development delivery delays in select markets; and finally, the earlier-than-expected closing of our combination with Interxion, along with additional investments in the Interxion business to fund future growth. As you can see from the bridge chart on page 16, we expect the quarterly run rate to dip down by $0.06 in the second and third quarters before rebounding in the fourth quarter and beyond. Our recent investment activity, including Ascenty in Latin America and Interxion in EMEA, along with our capital recycling initiative and balance sheet management, have lowered the per share bar in 2020. But we believe each of these initiatives will create long-term value and set us up for accelerating growth and a greater share of global customer wallet going forward, while still providing for a well-covered dividend, which the Board raised for the 15th consecutive year in February. Last, but certainly not least, let's turn to the balance sheet on page 17. Fixed charge coverage remains healthy at 3.8 times, while net debt to adjusted EBITDA stood at 6.6 times as of the end of the first quarter, primarily due to showing 100% of Interxion's debt on our balance sheet as of March 31, whereas it contributed just 18 days of EBITDA in the first quarter. Pro forma for a full quarter contribution from Interxion and the Westin Building, the equity issuance activity on the ATM after quarter end and settlement of the $1.1 billion forward equity offering, net debt to adjusted EBITDA remains in line with our targeted range at just over five times, while fixed charge coverage is just under five times. As a result of our proactive balance sheet management, we have ample liquidity to fund our capital spending with nearly $250 million of cash on the balance sheet as of March 31, another $1.7 billion of equity coming in post quarter end and $2 billion of availability on our global revolving credit facilities. The successful execution against our financing strategy reflects the strength of our global platform, which provides access to the full menu of public as well as private capital, sets us apart from our peers and enables us to prudently fund our growth. As you can see from the chart on page 18, our weighted average debt maturity is over six years and our weighted average coupon is 3%. 60% of our debt is non-U.S. dollar denominated, acting as a natural FX hedge for our investments outside the U.S. Over 90% of our debt is fixed rate to guard against a rising rate environment, and 98% of our debt is unsecured, providing the greatest flexibility for capital recycling. Finally, as you can see from the left side of page 18, we have a clear runway with virtually no near-term debt maturities and no bar too tall in the out years. Our balance sheet is poised to weather a storm, but also positioned to fuel growth opportunities for our customers around the globe, consistent with our long-term financing strategy. This concludes our prepared remarks. And now, we'll be pleased to take your questions. Shawn, would you please begin the Q&A session. 
Operator: [Operator Instructions] Our first question today will come from Jonathan Atkin with RBC Capital Markets. Please go ahead.
Unidentified Analyst: Thanks for taking the question. This is Bora Lee [ph] on for Jon. I guess first of all, given the widespread pause in place in Singapore for new permitting and moratorium on permitting in place in Amsterdam, are there any other markets where this is happening? And do you have any update on when these restrictions might be lifted? 
Andrew Power: Thanks for the question. This is Andy speaking. I think given the Digital team on the call is in different locations right now to social distancing, Bill asked that I quarterback handing off the questions. I think I actually can start the first one and let that team chime in. So, Singapore, obviously, is a country that was early out of the woods and now kind of back in lockdown, so -- and having some impact to our delivery time there. And Amsterdam, a different story, not really COVID-related. It's more of the government's restrictions on certain locations. I would say, in Amsterdam, we've done a very nice job about being ahead of the game there with planning for an existing now multiple campuses with our combination with Interxion, in addition to tying up some lands that are outside the restricted area. I don't -- I'm not aware of restrictions that are akin to the Amsterdam scenario really elsewhere in the portfolio. There's obviously markets where we're running up to supply constraints. I think that Amsterdam scenario is -- lends itself to the incumbent players, like Digital, and keep some of the new entrants out for sure. We are seeing more COVID-related impacts that have government intertwined. Toronto is a market where we have our campus is under construction, building out future capacity, and that the government kind of leaned in and put a halt for some time before reopening, in particular, Hillsboro, Oregon, where we're building out a campus that's significantly pre-leased. That less government restrictions, I'd say, some -- we saw a significant amount of absenteeism that caused some delay in the labor side. But again, this is just a handful of select markets where we saw some potential disruptions to our deliveries that will impact our 2020, which we try to lay out in the script. I wouldn't say it's a widespread phenomenon within our portfolio at Digital.
Unidentified Analyst: Okay. And for my follow-up question, a few days ago, you announced the launch of Digital Realty Data Hub featuring NVIDIA for the rapid deployment of AI and machine learning workloads. Could you provide further color on this announcement? Are there similar ones yet to come? And what are some illustrative customer use cases that DLR is seeing or expects to see?
Andrew Power: Thank you. I'll toss that to Bill, start there.
Bill Stein: Thanks, Andy. So, we're absolutely delighted to partner with NVIDIA to extend machine and deep learning to data center to accelerate artificial intelligence. Digital is an early stage partner with NVIDIA. And together, we've pre-certified 24 locations around the world. Our Data Hub solution featuring NVIDIA DGX PODs provides buyers with a validated reference architecture and solution starter kit for rapid AI deployments on PlatformDIGITAL around the world. The combination of NVIDIA DGX and PlatformDIGITAL enables a secure and performance data center architecture for enterprises at any scale. We do have a pipeline of similar ones. In addition to NVIDIA, we've released solution offers with Cisco, IBM and Vapor IO. This is part of the PlatformDIGITAL road map that we published last November when we launched the platform. We're seeing multiple customer use cases across many industries. We've captured multiple customer wins across financial services, transportation and logistics and IT service industries. All of these customers are looking to unbound data processing and exchange limitations to enable intelligent insights for their business. Initial use cases include complex trade analytics and risk, AI-based cybersecurity and route optimization for connected vehicles. 
Unidentified Analyst: Great. Thank you very much.
Operator: Our next question will come from Jordan Sadler with KeyBanc Capital Markets. Please go ahead.
Jordan Sadler: Thank you and good afternoon. I hope everybody is doing well. First question, I guess I'm interested in what you've seen in terms of demand, the pipeline and the funnel as a result directly or amidst COVID, first and foremost. So, I know the first quarter, there wasn't much going on in terms of time, which we had coronavirus, although globally, certainly, there might have been. It happened a little bit earlier in the quarter. But I'm speaking more specifically to what's gone on in -- took place in March, the end of March and then into April and sort of the velocity you've seen and maybe you could parse that across your customer base a little bit. Thank you.
Bill Stein: Hey thanks, Jordan. I hope you and your family are healthy and safe as well. I'm going to toss it over to Corey to talk pipeline in response to your question there.
Corey Dyer: Hey Jordan, thanks a lot and I appreciate the sentiment on -- for everybody and how COVID is affecting everyone across the globe. I'll probably answer kind of in two parts, a little bit about just what our pipeline looks like and then separately, I'll try to give you a sense of what the COVID impact of that was, if that makes sense for you, Jordan. But I would tell you that from a demand perspective overall, it's really been a strong demand. It's really picked up and continued through when we did our launch of PlatformDIGITAL in Q4. Q1 has kind of continued on that momentum. It was really well received by customers, partners in the industry. You guys -- we just mentioned the NVIDIA sign off, which is just another example of customers and partners adhering to our platform and some of the unique values that we have. Bill, in his opening remarks, mentioned that IDC MarketScape ranked us as a leader in the data center space. And then we saw the same follow-through on our enterprise new logos. So, the new logos, we had -- 75% of them were enterprise. Still staying on kind of that demand aspect and looking forward to Q2, really strong pipeline that we have, continuing that momentum around PlatformDIGITAL that we just started on. And so when we look at it kind of late-stage pipeline, quarter-on-quarter, it's up over 50%, 100% year-on-year. We go and look at new logo pipeline, it's similar kind of robust metrics. And then looked at the enterprise to see if we had anything there thinking who would maybe be the most impacted, Jordan. And a really strong pipeline on our enterprise side. So, happy with it across the board. The concern we have is just as you would expect. We've got some enterprises that are being impacted by it. And those that you would expect where we saw some slowdowns there. But on a net, it was taken up by new enterprise opportunities, CSPs, content network and really interconnection growth across the board. So, I would tell you that the industry, you would expect to get affected work. But on net for us, we still have plenty of demand and a strong pipeline going forward. Jordan, I hope that helps.
Jordan Sadler: That's helpful. And then maybe one for you, Andy, on the guide. I think pretty disappointing relative to where The Street is and where expectations were. And I know you had to layer in quite a bit between Interxion and COVID, and I appreciate the $0.25 headwinds. But even relative to the $1.57 you printed in 1Q, just annualizing the $0.25 of headwinds, it seems to point to very limited growth from new business and I know we're already in the year. But I guess it just seems a bit light. And I guess the other sort of comment would be around the re-leasing spreads. The Digital portfolio is a much larger portfolio than Interxion's. I know we've previously talked about maybe being shrewd the most difficult times, and I feel like fundamentals are only have only gotten better, increased demand, less ability to supply. What sort of -- what am I missing?
Andrew Power: So, thanks, Jordan. Let me try and tackle this. So -- and one quick clarification. The first quarter came in above our internal expectations at $1.53. I think you might have said $1.57. So close enough for what -- where you're getting at here. So -- and we certainly had a complicated quarter for our friends on -- in the research community to follow us. I think when we're tracking the 23 or so analysts that cover us, I think we -- we only got to around seven that we're able to get all the moving parts, including interaction closing orderly into the numbers. So where we saw consensus, if you did the math, including the interaction in the share count and the like, was closer to 630-ish. And relative to beginning of the year and today, I think the things that changed that we try to highlight in our prepared remarks are -- roughly total a little over $0.25 of impact. Three buckets, the first two buckets being the major components. First one is we took this time in the context of certainly uncertain times, probably more so outside of our industry, but broader capital markets disruption and the like to do some balance sheet management. We opportunistically issued $650 million under our ATM, and we plan to bring our equity forward down sooner. That, I would say is, call it, $0.08 or so of the $0.25, and that was intentional. And that was intentional in the broader backdrop that was intentional because we also see investment opportunities to fund future growth. Hence, we've kind of took a more conservative balance sheet posture. The second major component, what I'd call on the FX and COVID impact maybe, call it, $0.13 or so in total. And I'd say it's roughly 50/50 between those two buckets. COVID has some smaller items like some -- a more conservative posture on our estimations of bad debt expense. But the major COVID item, I would say, is really going back to my response to the first question, was we are seeing certain jurisdictions in select markets putting restrictions on our ability to bring labor to the sites. So, a fantastic -- it's fantastic to have our global platform across 20 countries in 44 markets. But when you have a country like Singapore that was originally out of woods in terms of its exposure and then kind of goes back into lockdown, our 50-megawatt shell or, call it, 11 or 12-megawatt pre-leasing already, is going to certainly get delayed a couple of months. And that episodic thing in a handful of markets, which I highlighted, is certainly going to put a little dent into our revenue that is going to come across the P&L in 2020. But again, temporary impact and really goes back to the fluid dynamics around the COVID situation. And then last but not least, I would say, call it, the small minority, let's say, is Interxion related. I don't think when we stood at the beginning of the year, we thought we'd have the good fortune of navigating numerous European government jurisdictions and multiple shareholder votes and closed the transaction at the middle of March like we did. We initially estimated 1% to 2% dilution on that transaction, but the pull forward in earlier timing. And I would say a little bit, we're seeing some investment opportunities in our combined EMEA business, which will be $0.01 or so till 2020. That kind of rounds up the minority of the $0.25. Net-net, this is obviously -- we are always looking to grow our earnings as fast as possible. At the same time, I would look at our combination with Interxion, our balance sheet management, be it our cap or recycling or even the more smaller opportunistic things like further equitizing the balance sheet to fund future growth opportunities are really setting us up for more accelerating growth. And also at the same time, I don't think doing anything that's reckless in terms of our dividend coverage and the like. And then turning briefly to the re-leasing spreads. Taking a step back for half a second. Four of the five of the last years four of the last five years, we've actually had positive re-leasing spreads, if you go back to our supplemental to each of those years. This year, we're obviously guiding to down slightly. This is a stat where we usually overestimate the negative impact and outperform relative to guidance, as you saw just last year. In any given quarter, they could have an episodic customer that is renewing with an above-market lease. Usually, those transactions, be it any form of renewal, is something that's additive to our commercial negotiations where we can help these customers across multiple products, multiple geos, new business and renewals in a kind of comprehensive fashion. So, I don't think we're out of the woods on every single one of our contracts being below market whatsoever. And I think the trend is moving in the right direction in the stat. And we're certainly looking forward to getting to -- in the green territory on that stat moving forward and overall driving higher organic growth. 
Operator: And our next question will come from Michael Rollins with Citi. Please go ahead.
Michael Rollins: Hi, good afternoon. Since this might be one of the last quarters that your reporting metrics for the heritage DLR business, back when you filed the S-4 for the transaction with Interxion, it was inferred from there that organic growth for the -- just heritage Digital business would be about 5%. Can you frame what that growth rate looks like that's embedded in the guidance for 2020 in terms of the expectation for heritage Digital revenue growth?
Bill Stein: I think -- honestly, if you look at the results so far, Interxion really only contributed, call it, two weeks or so of contribution. So, the first quarter results is primarily Digital. And just to reiterate, we did really do the facts and circumstances of moving to a work-from-home environment literally the day we closed Interxion. Put all of our statistics in here, excluding Interxion's, you could see the entire legacy or classic Digital business fundamentals. And in terms of contribution to guidance, I was not on the fourth quarter call, but Matt Mercier stepped in and did a very nice job, I thought, in laying out some kind of guide rails for legacy Digital, including on a standalone basis, what our top line would be and adjusting for the ins and outs of our dispositions and capital recycling, what we've called organic revenue growth in the mid-single-digits in 2020, which I would affirm is still accurate. And I would also -- we also stated that we had industry-leading EBITDA margins, which I would also affirm is still accurate. And I think that -- I'd say that's accurate, even pro forma for our Interxion combination, which obviously is a lower EBITDA margin business. So, just the comments were made back in February in terms of our organic growth profile, I would say, flow through into the guidance. And I would say the organic growth of the Digital business was a major driver of the outperformance from our internal perspective in the first quarter, which was a largely Digital-only quarter.
Michael Rollins: Thanks.
Operator: And now our next question will come from Erik Rasmussen with Stifel. Please go ahead.
Erik Rasmussen: Thank you. Maybe just with the Q1 and sort of breaking things down with the -- your Q1 results, the $823 million. Can you just maybe break that down in terms of the organic DLR versus what Interxion's contribution? Obviously, we go back into the math, but just wanted to get a sense of what those numbers were. And was -- were there anything else? And then with that, I thought you were going to be consolidating the Westin Exchange. What's -- what was the can you just maybe comment on what that was in the quarter?
Bill Stein: Sure. Thanks, Erik. So, just to be clear, you're asking kind of to unpackage the $823 million of revenue in the quarter in terms of contribution from each of the major transactions. The -- is -- that was your question, correct?
Erik Rasmussen: Yes. Thank you.
Bill Stein: So, of the $823 million, and I'm kind of bridging you between the quarter's changes, I would say, Interxion was probably like a $40 million -- almost $47-ish million contribution and the rest was really the ins and outs of Digital. And I think we put a cap rate and a return on the Westin purchase, about a 5.8% return so that you can kind of back into flipping that from an unconsolidated joint venture to a consolidated joint venture investment. And Erik, we're also more than happy to follow up post the call or work through any of the granularity. We understand when you joint venture and recycle $1.4 billion of capital in the last 90-plus days, buy out a partner on a $700 million asset and close a $8.5 billion strategic combination in Europe, it's not a simple quarter from anyone's modeling perspective.
Erik Rasmussen: No, definitely. I appreciate that. And I will do that. And then maybe just my follow-up on Northern Virginia, it seems to be recovering and we're hearing of improved demand. How are you seeing this market and your opportunities? And can you comment on other markets where you're seeing an improvement versus what you thought just 90 days ago? And that's maybe just not here in the U.S., but obviously, now with Interxion, you have a lot more visibility into that European base as well.
Bill Stein: Sure. So, maybe I'll start off with like a little kind of market tour, and I'll ask Corey to chime in a little bit on what he's seeing on the customer standpoint. Northern Virginia was a very strong quarter. It was, I believe, our top quarter top market in terms of overall signings. It was strong on the colocation or connection front. Some great startings at pretty attractive pricings into our colo suites on that campus. We also were very successful in backfilling into that market, numerous recently vacated suites. So, that's kind of high flow-through leasing activity because the suite is already built and constructed. And lastly, it was the home of our largest transaction for the quarter where we imported from out of region, a fairly sizable transaction all on the hyperscale front. So all around, pretty strong. I would say it's not a market that is completely out of the woods. I would attribute our success there due to a few things. One, our offering is really an entire platform offering, numerous of our sales into any market are going to include numerous products and numerous geos at the same time. Two, we have a very large installed and growing customer base that wants to grow with adjacency; and then three, in Northern Virginia, we have, I believe, the longest runway of future-proofing our customers' growth in terms of capacity, potential build-out. And I would say, while more commodity-like providers on the periphery in North Virginia are certainly cutting rates, that kind of almost internal competitive [Indiscernible] for our customers to get specific suites on various products within the various campuses in Ashburn certainly accrued itself to our platform and generate better economics. If you can turn to kind of quickly the rest of North America, brighter spots, I would say, is Toronto. It has been a very attractive location where we're quickly going through capacity there, and we're about to launch our colocation suite, which will be a great new entrance to that market. Northern -- New York City Metro, both in the city and also in New Jersey has been seeing a rebound. That's been on the colocation connectivity side as well as, I'd say, call it, half a megawatt to two megawatt-type scale as enterprise-type demand, financial service in particular. Santa Clara remains very tight. Other markets of robustness outside of North America, Asia-Pacific had a very strong quarter. Early signs in the smaller dollars or kilowatts from our Osaka launch of colocation interconnection, we're off to a great start there. And our SIN12 building, I think I mentioned, has had wins with a major enterprise, a leading Asia-Pacific bank as well as a major CSP. Swinging down to Latin America, São Paulo had success where we export demand from a European-based customer on the enterprise side into the colo connectivity suites in our Ascenty platform. And then last but not least, in Europe, we -- in our prepared remarks, we mentioned the strength of selling some Asia customers into our legacy Digital colo facility in Frankfurt. The London Cloud House is off to a good start. And then last but not least, Interxion, which we didn't kind of put on the page in our results, I would reiterate, did a very healthy $10 million of signings. It was a very attractive book of business with no major signing above 180 kilowatts. I believe the connectivity signings were close to 35-plus percent of the signings. So, also a very successful quarter in terms of the Interxion activity. Corey, anything to add on that? 
Corey Dyer: You gave him pretty much a rock star world tour of what we've got going on, so I was trying to think of what to add. I guess I would say, Andy, is the only thing to add is that we're really happy with what we've seen in Ashburn, if that's the base question here. We've had deals each of the last couple of quarters that have helped us. And we're continuing to see demand in that area that we're going to continue to source and take care of. It puts us in a position to think about expanding and growing more there. And then as you said, if you looked across our regions, each of our regions was really successful this year or in this last quarter, as well as AP just going gangbusters for us. So, I think you did a great job summarizing it. But we're happy with how PlatformDIGITAL has been received by customers. We're seeing a lot more multi-metro deals come through and a big pickup on the enterprise wins with new logos. So, I appreciate it, Andy.
Erik Rasmussen: Great. Thank you.
Operator: Our next question will come from Richard Choe with JPMorgan. Please go ahead.
Richard Choe: Hi. I just wanted to ask about the base business. And given that there's so many puts and takes on the financial side, just to focus on what's going on with the underlying business. It seems like $70 million in signings has been pretty steady over the past four quarters. Is that the new normal? And is it fair to say, even though Northern Virginia contributed, it doesn't seem like you had a kind of out of trend win there. And later on, that could boost that overall signings number from $70 million to a much bigger number.
Andrew Power: Thanks Richard. So, I would say -- I mean we've showed a pretty consistent stair step up over now several quarters. And each and every quarter has gotten a little bit better in terms of its volume and composition on multiple fronts. So, we're at just under 75, excluding anything for Interxion and it was very diverse. As we mentioned, APAC was a big contributor. It was -- Northern Virginia was a solid contributor, but I wouldn't say it took -- stole the entire show. And I think that if you got to really to peel the onion, going back to some of Corey's and Bill's comments, either in our prepared remarks, very healthy new logos. When you add up -- our new logos up, we're up to 120 new logos. So I don't -- usually don't like to annualize that, but on a 4% -- 4,000 customers, we're talking like almost 12% new logo generation growth from the combined platform. So, very pleased on numerous other key performance indicators and I think you heard a little bit about Corey's outlook on the pipeline, moving it into 2Q. 
Richard Choe: And as a follow-up, the interaction of 10 million signings; is that kind of the normal level? Or was that kind of them having a very good quarter? And how should we think about that going forward?
Andrew Power: I'm pretty sure -- I don't believe David's ever given a signings pipeline or even a signings number. So, I'm not going to be the first one to unpack that on public air here. But I'm sure some transactions probably didn't get done during the quarter. I would say Europe, in particular, was in the middle of the COVID crisis a lot sooner than the United States. But I was pretty pleased when I saw close to 10 million of signings with that healthy consistency, numerous -- across numerous markets and so connectivity rich.
Richard Choe: It's a nice contribution. Thank you.
Operator: Our next question will come from Colby Synesael with Cowen. Please go ahead.
Colby Synesael: Great. Thank you for taking my questions. The first one, just you guys have talked about in the past a goal of getting to maybe 5%, 7% core FFO per share. When you think about 2021 and getting past some of the things that you've talked about that are impacting you specifically in 2020, is that still a fair approximation for where you would aspire to see growth going, particularly with the leasing numbers that have been so strong? And then secondly, well, I appreciate you don't guide to AFFO, I was hoping you could give us a little bit of color on some of the metrics that go into it, such as straight-line and market rent amortization. I mean some of us do focus a little bit more on that metric as well. Thank you.
Andrew Power: Thanks Colby. So, I think our growth objectives for the business remain consistent. The only ounce of caution I put then is we're obviously in a whole brand-new world here that could have interim drag or longer-term acceleration, overall digital transformation that could further emphasize the growth of our business. But I think that mid to high single-digits kind of growth in our recurring cash flows or FFO, AFFO per share is still the bogey to -- or hurdle to shoot for and overcome. Going to the adjustments to FFO and to AFFO, really straight-line rents is just a GAAP phenomenon where we essentially kind of include the rental escalations or bumps. And depending on where the customers' contracts are in their life cycle, it can have a positive or negative impact. And depending on what type of -- whether customers ramping into our space or not can obviously have an impact. And the above and below market amortization is also a non-cash impact as well. So, I'm happy to -- with 4,000 customers in the breadth of our business, there's a lot of ins and outs that go into that number. If you want to ask another -- I'm not sure -- maybe I'm not hitting the heart of what you're seeking to understand there in terms of the impact.
Colby Synesael: Sure. Well, just given the interaction and how that's a slightly different business than what you guys had what your business predominantly is, I was just wondering if there's any color you can give. But maybe more simply, would you expect AFFO to be notably below, above, similar to your core FFO? Maybe that's an easier way of asking it. And then, I guess, since if you're not able to answer that question, just curious, just in terms of COVID-19, if you're seeing, as a result of that, some of the larger hyperscalers are shifting more to an outsourced model opposed to a self-build model, given perhaps their own desires to reduce their own CapEx expense in this environment?
Andrew Power: Yes, I think the more elegant answer to your first question is what's a combination of consolidating our highly connected colocation facility, the Westin Building and our combination with Interxion. Our mix of business is certainly moving much more towards a more granular customer base, more network-oriented customers. We're obviously going after the enterprise customer in hybrid multi-cloud environments. And that customer mix is going to have less -- much, much less of, call it, 15-year steady Eddie bump contracts, which is going to be at the end of the day, narrow, I believe, the gap between our FFO and AFFO per share over time versus if -- going back to our legacy, much more legacy business even -- kind of tell us kind of five years back. And then going to your second question on -- maybe I'll turn this over to Corey or Chris to answer about the second question, about customer behaviors or the buying patterns of the hyperscalers. 
Chris Sharp: Yes, I can help out with this one, Andy. And I think on the hyperscalers, Colby, there are requirements. They've got them all across the globe. So we're well positioned to help out where they need to look at it. And they generally handle that demand with a combination of like their self-build and their -- and then outsourcing to groups like us. Many of the hyperscaler requirements also involve compute nodes combined with connectivity. And I think we're really well positioned just to take care of them from a full spectrum of data center solutions, both highly connected and wholesale. And I think, while you might hear that some of them want to in-source for whatever different reasons or build their own, we haven't seen that come through in the pipeline yet, and we haven't seen that come through in any kind of change in our customer conversations and our engagements with them, is what I'd I tell you, Colby. Thanks.
Colby Synesael: Okay. Thank you.
Operator: This will conclude our question-and-answer session. I would now like to turn the call back over to CEO, Bill Stein for any closing remarks. Bill, please go ahead.
Bill Stein: Thanks Shawn. I'd like to wrap up our call today by recapping our highlights for the first quarter as outlined here on the last page of our presentation. First, we enhanced the value of our platform, successfully closing on our highly strategic combination with Interxion as well as the acquisition of the Westin Building in Seattle and the Mapletree portfolio sale. Second, we also underscored our commitment to delivering sustainable growth for all stakeholders with community outreach initiatives, a renewable wind energy contract and new additions to our Board. Third, we maintain steadfast support for our customers, prioritizing health and safety while maintaining service levels. Last but not least, we further strengthened our balance sheet with the opportunistic issuance of $650 million of equity capital. I'd like to conclude today's call by saying thank you to the entire Digital Realty family, but particularly our frontline team members in critical data center facility roles, who have kept the digital world turning in the midst of this global pandemic. I hope you all stay safe and healthy and we hope to see many of you in person again soon. Thank you. 
Operator: The conference has now concluded. Thank you for joining today's presentation. You may now disconnect.